Operator: Good afternoon and welcome to the Eton Pharmaceuticals First Quarter 2021 Financial and Operating Results Conference Call. At this time, all participants are in a listen-only mode. Following the formal remarks, we will open the call up for your questions. Please be advised that this call is being recorded at the company’s request. At this time, I would like to turn it over to David Krempa, Senior Vice President of Business Development and Investor Relations at Eton Pharmaceuticals. Please proceed.
David Krempa: Good afternoon, everyone and welcome to Eton’s first quarter 2021 conference call. This afternoon, we issued a press release that outlines the topics that we plan to discuss on today’s call. The release is available on our website, etonpharma.com. Joining me on the call today, we have Sean Brynjelsen, our CEO; Wilson Troutman, our CFO and Paul Stickler, our Senior Vice President of Sales and Marketing. Before we begin, I would like to remind everyone that statements made during this call may contain forward-looking statements that involve risks and uncertainties that could cause actual results to differ materially from those contained in these forward-looking statements. Please see the company's forward-looking statements disclaimer in our earnings release and the risk factors in the company’s filings with the SEC. Now, I will turn the call over to our CEO, Sean Brynjelsen.
Sean Brynjelsen: Thank you, David. And thank you everyone for joining us today as we discuss our first quarter earnings results. I'm pleased to share that we reported record revenue and more importantly profitability in the first quarter of 2021. The strong earnings were a result of the years of hard work we have put in since starting the company a few years ago. With the recent launches of our Alkindi Sprinkle and Alaway Preservative Free, we now have three commercial products generating revenue for us. In addition, this quarter we were able to monetize the work we put into our neurology oral liquids franchise with as Azurity pharmaceuticals, or with the Azurity pharmaceuticals transaction. This transaction brought in $9.5 million in the quarter and should provide us with payments of up to $45 million in the coming quarters and years in addition to a single digit royalty and future sales of the products. I will start my remarks today with our lead product Alkindi Sprinkle. Alkindi is an orphan drug product for the treatment of adrenocortical insufficiency. It became commercially available in late Q4 and fully promoted in January after the holidays. Our sales reps have already engaged with more than 90% of their initial targets in the pediatric endocrinology community. These engagements have been largely virtual through video conference calls and such. But we have recently seen a growing group of physicians and hospitals allowing for in person meetings. Furthermore, we expect in person meetings to lead to drastically higher conversion rates, and are therefore shifting our sales focus strategy to allocate more resources to states that are allowing in person meetings. We will be focusing nearly all of our sales rep efforts on accounts and states that are open so that we can conduct as many in person meetings as possible and as quickly as possible. For example, if the Northeast territory is not accepting in person meetings, that sales rep would be helping out in Texas, Florida or whichever states we have scheduled in person meetings then. We've got all hands on deck targeting the open states and as additional states open up the team's focus will rotate to the newly open states. Just to be clear, there are some states which aren't fully open that do accept visits and obviously we would continue to visit those hospitals as well. So the key point here is really that in person visits will take precedence over Zoom calls, we find them far more effective than Zoom calls, and we find them far more informative for the physicians. As a lean and nimble company, we have the advantage of being able to quickly make these types of changes and rapidly adapt to the evolving landscape across the United States. We believe this strategy will produce stronger results than continuing to have sales rep pursue strictly Zoom calls in a closed states for example, and I am very proud of how quickly our team was able to implement the strategy. As we discussed our last call, we have implemented a quickstart program that allows new prescriptions to be immediately filled for patients, even while the administrative paperwork and reimbursement process is worked through behind the scenes which may take a few weeks. We think this is an important program to get patients in the treatment as quickly as possible. But it does mean that the revenue for those scripts can often lag the starter treatment by a month or two. We will continue to focus on generating as many new scripts as possible, and we know that the revenue will follow. I'm pleased to report that we've already received more than 100 new patient scripts and we continue to work towards goal of having more than 400 new patients scripts by the end of 2021. Now a few words regarding EM-100. During the quarter our partner Bausch Health launched Alaway Preservative Free and major retailers across the country. We've been pleased with the commercial launch efforts by Bausch so far and given the initial sales data, it looks like the product will be a success. Patients and doctors are excited to finally have a preservative free allergy treatment available over the counter. Our third commercial product is Biorphen, a ready to use phenylephrine injection. Biorphen sales continue to grow as more hospitals adopt the product and we believe that major market adoption will coincide with availability of both our vial and prefilled syringe presentations. Sales month over month continue to grow with phenylephrine we would expect that to increase dramatically once we offer these additional presentations. However, our vial manufacturer ran into delays due to government mandated capacity reservation for the COVID vaccine production. But we went ahead and executed a backup plan and expect to have the vial product available in 2022. In addition, we've made progress on the prefilled syringe line extension and we expect to have that product also in 2022. Now turning to our pipeline products. We are approaching a very exciting period for our company and our pipeline. We have a total of six products under review with the FDA with four of those PDUFA dates coming up in the next three months. We are partners are engaged in regular communications with the FDA, and we hope to have these products approved and launched very shortly. We expect to continue to replenish our pipeline with additional business development transactions in the near future. We remain active in our pursuit of high value additional late stage orphan drug products and look forward to transacting in the coming quarters. With that I would like to turn the call over to Wilson Troutman who will briefly walk through some of the financials before we open up the call. Wilson?
Wilson Troutman: Thank you. Revenue was $11.9 million in the first quarter of 2021, which includes licensing revenues with Azurity Pharmaceuticals pharmaceuticals and Bausch Health along with our sales of Alkindi Sprinkle, Biorphen and product royalties from Alaway Preservative Free for the quarter. Gross profit was $10.3 million or 86% of sales for the first quarter of 2021 and reflect the delimited costs of sales associated with our licensing revenue. Research and Development expenses were $0.9 million for the first quarter of 2021 which was a $5.4 million decline as compared to $6.3 million of R&D expense for the same period in 2020. The R&D expense in 2020 reflected $4.8 million U.S. to acquire the licensing rights to Alkindi Sprinkle. Given our pipeline products that we have filed with the FDA, absent of new business development transactions, we expect R&D expenses in 2021 to remain well below the full year 2020 levels. General and administrative expenses were $4.1 million for the first quarter of 2021 compared to $2.6 million for the same period in 2020. This increase is primarily driven by higher selling, marketing and distribution spending for a commercialization of Alkindi Sprinkle which we launched in December 2020. G&A expenses in the quarter included $0.7 million of non cash expenses for 2021 compared to $0.4 million for the 2020 quarter. As a result of these factors, our quarterly net income was $5.1 million or $0.19 per share in the first quarter of 2021 as compared to a net loss of 9.0 million for the same period of 2020. As of March 31, 2021, our cash balance was $25.1 million. Our strong cash position gives us room to launch our products and still pursue new business development opportunities.  We will now open up for questions. Operator?
Operator: Thank you. [Operator Instructions] Our first question comes from Andrew D’silva with B. Riley. You may proceed with your question.
Andrew D’silva: Hey, good afternoon. Thanks for taking my question. And congrats on the progress. Just couple of quick ones start related to the neurology sale. I believe it's $5.5 million or was received at closing was actually in escrow. Where are we on the milestones related that and maybe you just refresh my memory on what those triggers are? And then if you could let us get a better understanding of what you think R&D should look like as the year continues, obviously, pretty volatile quarter to quarter.
Sean Brynjelsen: Sure Andy. So the $5.5 was held in escrow. You're correct. We received $1 million of it already in Q2. The remaining $4.5. we expect to come through later this year, when various I would call them administrative, such as patent filings, certain things like that are accomplished throughout the year. So we still expect that to come through later this year.
Andrew D’silva: Great. And as far as R&D? 
Sean Brynjelsen: R&D I think Q1 was a fairly good run rate, assuming no other business development transactions in the year. The products have all been filed with the FDA and a lot of the expense last year, besides the onetime Alkindi fees was NDA, filing fees of $1.5 million per product, as well as some of the development work that went in pre-filing. So with the products filed no more fees on the horizon, the Q1 rate will probably be what we see the rest of the year except for any new future business development transactions that may increase the R&D expense.
Andrew D’silva: Okay, that makes sense. And then as it relates to DS-100, could you just refresh my memory on the market dynamics there? Remember that there was originally only one player in this space? I was curious if that change at all. And if there was a change in the whack pricing there?
Sean Brynjelsen: No, there's no change. There's one other one current supplier of dehydrated alcohol in the market and they have a different indication than our product, but they're the only player in the market.
Andrew D’silva: Okay, great. And the last question, as it relates to lunch of Bausch it's a pretty abnormally high allergy season right now. Just curious that now that their launch, you're seeing any sort of an uptick in efforts on their party for marketing, and then if you're seeing anything translate to sales?
Sean Brynjelsen: So what we've seen from Bausch so far is the Q1 results and as you remember, the product launched in February, so it was really about a month and a half worth of sales. We were very happy with the results. We think they're doing well. We think the product should be successful. But we have no insight into the April or early May sales of the product yet.
Andrew D’silva: Okay, perfect. Thank you very much. Best of luck going forward.
Sean Brynjelsen: Thanks, Andy. 
Wilson Troutman: Thanks. 
Operator: [Operator Instructions] Our next question comes Ram Selvaraju with H.C. Wainwright. You may proceed with your question.
Unidentified Analyst: Hi, guys, this is Rob on for Ram. A few questions from me if I may. Congrats on the quarter. So can you help us understand how large the Canadian market opportunities for Alkindi Sprinkle and what sort of level of infrastructure would you need to penetrate that territory effectively?
Paul Stickler: Hi, Rob, my name is Paul. Yes, the Canadian market roughly is about a 10th of the size of the U.S. market. And so in terms of infrastructure, we would really not need a whole bunch of people up there at this point in time. I do think that based upon my prior experience that a very streamlined sales organization in Canada can be very effective, particularly in rare disease.
Unidentified Analyst: Thank you for that. My next question. So how many can help us understand, I don't know if you had this data yet. How many repeat prescribers are there for Alkindi Sprinkle in the U.S. and how many patients have filled more than one prescription?
Sean Brynjelsen: Yes. So actually, in terms of the repeat prescribers, we have a good number of repeat prescribers. With pediatric adrenal insufficiency the healthcare providers that treat that disease tend to treat a lot of them. So we've been very happy with the repeat orders that have been coming. And what was the other part of the question again? 
Unidentified Analyst: So how many patients have actually filled more than one prescription?
Sean Brynjelsen: A reasonable percentage. I'd say under 50%.
Unidentified Analyst: Okay, thank you for that. My last question. So you've stated before that you're a developer  of rare disease drugs and are you abandoning the more traditional specialty pharma model and what do you consider to be attractive target rare disease indications going forward?
Sean Brynjelsen: Hi Rob, This is Sean. So the short answer to your question is we are firmly focused on rare disease specifically orphan drugs. The products allow us to have effective launches with minimal SG&A typically, you have pricing advantages on rare disease and a smaller number of patients to I guess to reach. If you're a large pharma company, you can invest a lot of resources and perhaps visiting general physicians’ offices, but that doesn't really work for a smaller drug company. Now, in terms of spec pharma, I would say that we've got a royalty business that represents those types of products. So we have other companies that we've partnered with. And we'll continue to do that where it makes sense financially. But I would say going forward, you really should think of us as focused in the rare disease space.
Unidentified Analyst: Awesome. Thanks, guys. And congrats again.
Sean Brynjelsen: Thank you. 
Operator: Thank you. And that concludes our Q&A session. Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.